Operator: Welcome to the Regeneron Pharmaceuticals Q3 2016 Earnings Conference Call. My name is Jason and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note, the conference is being recorded. I will now turn the call over to Dr. Michael Aberman. Dr. Aberman you may begin.
Michael Aberman: Thank you very much and good morning and welcome to Regeneron Pharmaceuticals Third Quarter 2016 Conference Call. An archive of this webcast will be available on our website under Events and Presentations for 30 days. Joining me on the call today are: Dr. Leonard Schleifer, Founder, President and Chief Executive Officer; George Yancopoulos, Founding Scientist, President of Regeneron Laboratories and Chief Scientific Officer; Bob Terifay, Executive Vice President, Commercial; and Bob Landry, Chief Financial Officer. After our prepared remarks, we will open the call for Questions & answers. I would also like to remind you that remarks made on this call include forward-looking statements about Regeneron. Such statements may include, but are not limited to, those related to Regeneron and its products and businesses, sales and expense forecasts, financial forecasts, development programs, collaborations, finances, regulatory matters, coverage and reimbursement matters, intellectual property, litigation matters and competition. Each forward-looking statement is subject to risks and uncertainties that could cause actual results and events to differ materially from those projected in such statements. A more complete description of these and other material risks can be found in Regeneron’s filings with the United States Securities and Exchange Commission, or SEC, including its Form 10-Q for the quarter ended September 30, 2016, which was filed with the SEC this morning. Regeneron does not undertake any obligation to update publicly any forward-looking statement, whether as a result of new information, future events or otherwise. In addition, please note that GAAP and non-GAAP measures will be discussed on today’s call. Information regarding our use of non-GAAP financial measures and a reconciliation of these measures to GAAP are available in our financial results press release, which can be accessed on our website at www.regeneron.com. Once our call concludes, Bob Landry and the rest of IR team will be available to answer further questions. With that, let me turn the call over to our President and Chief Executive Officer, Dr. Len Schleifer.
Leonard Schleifer: Thanks, Michael, and a very good morning to everyone who has joined us on the call and webcast today. I would like to begin by giving you a high-level stance of our near-term and longer term priorities at Regeneron. EYLEA our flagship anti-VEGF continues to remain a key financial driver for Regeneron. We are pleased with the continued growth of EYLEA and are committed to maintaining our leadership position in the branded anti-VEGF market by pursuing both additional indications for EYLEA such as diabetic retinopathy, where we currently have a Phase III study ongoing. And we are also looking at ways in which we can improve upon the high efficacy bar set by EYLEA through combinations within antibody to Ang2 where we currently have two Phase II studies ongoing. While EYLEA remains very important to our business, we are equally focused on the ongoing launch of Praluent or PCSK9 antibody for long LDL cholesterol as well as advancing our pipeline. For Praluent, we believe that if outcomes data are positive it will drive greater use of this class. As mentioned in our release, we expect this second interim analysis by the end of this month. Moving on to Sarilumab our IL-6 receptor antibody for the treatment of rheumatoid arthritis, as you heard last week, we received a complete response letter from the FDA, this was due to certain manufacturing deficiencies, not specific to Sarilumab. They we observed during a routine inspection of a Sanofi fill and finish plant in France. Sanofi has provided comprehensive responses and is working closely with the FDA to address the deficiencies as expeditiously as possible. It is only been a week since we received the complete response letter and we are preparing to engage in meaningful discussions with the FDA, so it is too early for us to comment on the expected timeline for a potential Sarilumab approval. We do not expect these manufacturing deficiencies will impact Dupilumab or as it is now known by its branding Dupixent, where our Biological License Application or BLA is currently under FDA prior review for the treatment of moderate-to-severe atopic dermatitis in the dose. The FDA action date for the BLA is at the end of March. Dupixent is a very important pipeline product candidate for us and we believe that atopic dermatitis represents an area of high unmet need. As a reminder, we received breakthrough designation this indication. In addition to atopic dermatitis, we are also investigating Dupixent in other indications including asthma, where we recently completed enrollment in our second pivotal study. In midterm, we are looking forward to important clinical progress several of our Phase II and III programs, which spend a variety of therapeutic areas such as allergic diseases, pain, viral diseases, ophthalmology, oncology, cardio metabolic diseases, inflammatory and rare diseases. These programs have the potential to drive the next wave of growth for Regeneron. You will hear more about the key clinical developments from some of these programs from George. At Regeneron, we have always been committed to long-term science and innovation. In fact, today’s marketed products as well as the 16 product candidates in clinical development were all home grown in our internal R&D engine. We will continue to invest in science and technology that can provide sustainable innovation and growth well into the future. This unique long-term focus on science is at the heart of why we have been able to attract top talent, which is key to our continuing success. Through that end, last week we were thrilled to be named by science magazine as the number one company in the biotech or pharmaceutical industry to work for. A recognition we received for four of the last six years. We know that our industry has faced many important questions regarding pricing of drugs. This is not the forum to discuss the complex issue of drug pricing, but I think it is important to note that Regeneron is in a unique position. As the company founded on Science and committed to the research and development of important new products, we are well positioned to succeed even in a difficult and constrained pricing environment. In fact, we have never raised prices on any of our drugs choosing instead to grow through the optimization of currently marketed products by pursuing new indications, as well as the introduction of new medicines. Our future potential growth will be driven by this strategy. With that, let me turn the George.
George Yancopoulos: Thank you Len and a very good morning to everyone who has joined us today. I would like to begin with Dupixent, our IL-4/13 blocker, which we believe is one of the most exciting late stage drug candidate in the industry. We are investigating Dupixent in a wide variety of allergic diseases. The most advance of which is uncontrolled moderate-to-severe atopic dermatitis. Just last month, we had the opportunity to present detailed results from SOLO-1 and SOLO-2 which were two identical Phase III studies that investigated Dupixent in the monotherapy setting at the annual EADV Conference. These data were also concurrently published in the New England Journal of Medicine. These were the first large pivotal studies where systemic investigational therapy demonstrated significant reduction in the signs and symptoms of atopic dermatitis with an average reduction in skin scores of about 70% accompanied by a marked reduction in the usually unrelenting itch associated with this disease and almost 40% of these patients achieving clearing or near-clearing of their skin lesions. Unlike other immune modulating therapies, there was no evidence of increase immunosuppressant and the most common adverse events in the two trials were injection side reaction in conjunctivitis. We were encouraged by the excitement with which these data were received by the physician community, as well as by patients and we believe that this speaks to the current unmet need and frustration with currently available therapies for this severely debilitating disease. As Len mentioned, our BLA for Dupixent for the treatment of adults with moderate-to-severe atopic dermatitis is currently under FDA review and has been given priority review status and an action date of March 29, 2017. While the SOLO studies were in the monotherapy setting, we have also reported positive one-year top line data from the CHRONOS Phase III study, which explore Dupixent in combination with topical corticosteroids. The safety and efficacy findings from the long-term CHRONOS study were consist with those observed in SOLO-1 and 2. I’m pleased to share that LIBERTY AD CAFÉ a Phase III study of Dupixent with common topical corticosteroids in adult patients with severe atopic dermatitis were controlled with or intolerant to or ineligible for oral cycle is now fully enrolled. We along with our collaborator Sanofi, expect to complete the regulatory submission in Europe and Japan in the fourth quarter of 2016. We also plan to initiate a Phase III study in the pediatric severe atopic dermatitis population in the first quarter of 2017, in patients between the ages of 12 and 17. We are pleased that similar to the adult indication Dupixent has received breakthrough designation for the treatment of pediatric patients with moderate-to-severe atopic dermatitis. While atopic dermatitis is the most advanced indication in development for Dupixent, we are making headway with our asthma program as well. We have previously announced positive results from our first pivotal study of uncontrolled persistent asthma, despite treatment with inhaled steroids and long-acting agonists. As a reminder, these data demonstrated improvements in both lung function as measured by FEV and exacerbations in all patients, regardless of baseline Eosinophil status. There was a 15% improvement above placebo in FEV1 and a 75% reduction in exacerbations in the overall population treated with the 300 milligram every two-week dose. The most common adverse event associated with treatment in this study was injection side reaction. In September, we announced completion of enrollment in LIBERTY asthma quest, which is our confirmatory Phase III pivotal study of Dupixent in this indication. The primary end-point of this study is at 52 weeks and we therefore expect to make a regulatory submission in the U.S. towards the end of 2017. We also expect to initiate a Phase III study in pediatric asthma patients in early 2017. We were also exploring the use of Dupixent in several other allergic indications such as nasal polyps, where we expect to initiate a Phase III study earlier next year and in Eosinophilic Esophagitis we are currently in a Phase II. Turning to Fasinumab, our nerve growth factor antibody for pain. In October, we provided an update on this program. Following the observation of the case of progressing osteoarthritis in the patient receiving high dose Fasinumab, who had a history of advanced osteoarthritis of the knee, the FDA placed our Phase II study in chronic back pain patients on clinical hold. This event prompts an unplanned interim analysis study, which had already completed 70% of its targeted enrollment. The unplanned analysis showed clear evidence of efficacy with improvement in pain scores in all Fasinumab groups compared to placebo at eight and 12-week timeframes with p value less than 0.01. Preliminary safety results were also generally consistent with those observed previously with this class. The FDA has since communicated that we can continue development of Fasinumab in chronicle back pain by excluding patients who have advanced osteoarthritis. We are also continuing our pivotal program in osteoarthritis with final design elements still receiving regulatory feedback. The Fasinumab program will contain safety data from 10,000 patients overall. Moving to Praluent. The recent news on the discontinuation of development of Bococizumab obviously has a major impact on the PCSK9 landscape. This further underscores a very high bar in terms of safety and efficacy for this class. This example also highlights to us the value of our fully human VelocImmune based antibody technology. In terms of our Praluent program, our 18,000 patient ODYSSEY outcome study remained ongoing. We expect the second interim analysis for futility and overwhelming efficacy by the end of this month. We and our collaborator Sanofi have also completed regulatory submissions for the once-monthly dosing formulation of Praluent in the Europe and Japan territories as well as in the United States, where we have been granted an FDA action data January 24, 2017. Our immune-oncology continues to advance and expand. We believe that these are still early days in the area of immune-oncology with a net collective knowledge of this field evolving rapidly and the competitive landscape changing continuously. Evidence of this includes the recent surprising sale year of the market leading PD-1 antibody in first line lung cancer. Regarding our PD-1 program, our potentially pivotal study in Cutaneous Squamous Cell Carcinoma is ongoing and we plan to announce additional studies in the near future. In addition, we are also studying PD-1 in combination with our by specific CD-20 by CD-03 molecule. As this year at the American Society of Hematology or ASH conference we will be presenting monotherapy data from the CD-20 by CD-03 program. Lastly, we plan to advance Regeneron 3767 and the antibody LAG-03 into clinical development by the end of 2016. In October, we announced top line results from the Phase II combination study of EYLEA with Rincumab, our PDGFR receptive antibody in wet Age-related Macular Degeneration or wet AMD where the data demonstrated no improvement in Best Corrected Visual Acuity, the primary end-point of this study versus EYLEA alone. We think these study results demonstrate the high hurdle that has been set by the well established efficacy and safety of EYLEA. That said, we are looking for ways in which we constraint in our EYLEA franchise. To that end, we are conducting a Phase II study of EYLEA in a co-formulated combination with Nesvacumab, our antibody to Ang2 in AMD and DME. The DME study is fully enrolled while the study in wet AMD continues to enroll patients. We were also exploring longer acting approaches in this class. And with that summary, let me turn the call over to Bob Terifay.
Robert Terifay: Thank you George and good morning everyone. Third quarter U.S. EYLEA or Aflibercept net sales grew 16% year-over-year. Net U.S. EYLEA sales in the third quarter were $854 million and year-to-date sales were $2.5 billion. Net Ex-U.S. EYLEA sales in the third quarter were $471 million, which represents 27% year-over-year growth unadjusted for currency fluctuations. Net Ex-U.S. year-to-date sales were $1.4 billion. EYLEA is the market-leading product among FDA approved anti-digest agents for all of its approved indications in the United States. In the U.S., we are seeing increased competitor discounts and rebates. We are carefully accessing these actions. As I’m sure you are well aware there is a pending proposal from the centers for Medicare and Medicaid services regarding position reimbursement for physician administrated Medicare Part B or buy and bill drugs. We have worked hard on the policy and legislative front on this issue and will be prepared to respond on the commercial front as needed to make sure that patients continue to have full and complete access to EYLEA. Bringing now the Praluent or Alirocumab. As reported by Sanofi, net sales in the third quarter were $38 million with the U.S. accounting for $32 million of the total. Sales data and IMS total prescription data indicate that Praluent and Evolocumab market share are roughly 50-50 in the United States. As reported by IMS, U.S. total prescriptions for Praluent increased sequentially to 60% versus second quarter of 2016. The challenge for the PCSK9 inhibitor class continues to be the significant reimbursement hurdles for the physicians’ offices and patients, resulting in a low volume of prescriptions being dispensed. This is resulted in physicians’ offices reserving their initial prescription to eliminate pool of patients. We continue to focus our efforts in improving access and improving the prescription process through the payers in specialty pharmacies. We are gradually seeing more payers loosen their utilization management criteria, including removing the requirement prior Ezetimibe therapy. In addition, we are now seeing some patients shortening the number of months that a patient needs to be on maximally tolerated statin therapy and eliminating a specialist only prescribing or consultation requirement. Others have streamlined the prior authorization process. ODYSSEY outcomes data positive, are anticipated to be a key driver in shaping the future success of Praluent. Outside of the United States, Praluent was approved in the EU in September of 2015 with the product now approved in 41 countries. Reimbursement discussions are currently underway with several governments across Europe. Positive reimbursement decisions have been issued in the UK, Spain, Norway and the Netherlands. It still remains a challenging reimbursement situation with some countries awaiting cardiovascular outcomes data. We continue to plan for the potential launch of Sarilumab in the United States. As an example, we have a major presence at the upcoming American College of Rheumatology meeting this month in Washington DC. We will be presenting data from our MONARCH study of Sarilumab as monotherapy in patients for who are poor [Indiscernible] responders as well as subset analysis from our pivotal U.S. registrational studies. We will have a display to your presence highlighting the essential role of IL-6 in rheumatoid arthritis. The European Marketing Authorization Application for Sarilumab is currently under review by the European Medicines Agency, with a potential decision on the application expected in mid 2017. Co-promotion decisions for Europe and other ex-U.S. countries will be made over time. We are currently preparing for Dupixent or Dupilumab commercialization within FDA PDUFA date of March 29, 2017. We will be co-promoting Dupixent with Sanofi Genzyme in the United States. Co-promotion decisions for other countries will be made at the later date. We are aware that payers and pharmacy benefits managers are proactively evaluating the cost effectiveness of emerging therapies for atopic dermatitis in the United States. We want to take a moment to discuss how we are thinking about the Dupixent commercial opportunity, which differs in many important respects in the situation we phase with Praluent. Dupixent has already demonstrated efficacy on the most important outcomes. Consistent efficacy on rash severity, itching and quality of life measures. In the United States, there are 1.6 million patients with uncontrolled moderate-to-severe atopic dermatitis. The majority of which will not likely receive Dupixent therapy. We estimate that approximately 300,000 of these patients have exhausted all approved therapies and have failed or unable to tolerate unapproved use of immunosuppressant therapies. Many of these advanced patients are suffering from a host of related issues, including sleep disturbances, anxiety and depression. These atopic dermatitis patients should not be denied therapy. We hope payers and insurers will provide appropriate and timely access to Dupixent, should it be approved. And the patients will not have to step through unapproved immunosuppressant therapies, many of which had bought Black Box warnings. We plan to work closely with all stakeholders including patients, physicians and payers to achieve this goal. With that, let me turn the call over to our Chief Financial Officer Bob Landry.
Robert Landry: Thanks Bob and good morning. Regeneron posted strong financial results in the third quarter of 2016 as well as entered into two new exciting collaborations. We are also lowering and tightening full-year 2016 guidance on non-GAAP unreimbursed R&D, non-GAAP SG&A, our effective tax rate and capital expenditures. Let me start with our top-line third quarter earnings. The third quarter 2016 non-GAAP net income was 365 million in non-GAAP net income per diluted share was $3.13. This represents an increase of 32% in both non-GAAP net income per diluted share as well as non-GAAP net income in the third quarter of 2016 compared to the third quarter of 2015. Regeneron’s third quarter 2016 non-GAAP net income primarily excludes non-cash share based compensation expense and the $25 million upfront payment made connection with our third quarter 2016 license in collaboration agreement with Adicet and includes the income tax effect of these non-GAAP reconciling items. Of all reconciliation of GAAP to non-GAAP earnings that is set forth in our earnings release. Total revenues in the third quarter of 2016 were $1.2 billion, which represents year-over-year growth of 7% over the third quarter of 2015. Net product sales were $857 million in the third quarter 2016 compared to $738 million in the third quarter of 2015. EYLEA U.S. net product sales were $854 million compared to $734 million in the third quarter of 2015 representing 16% year-over-year growth, sequential quarter-over-growth was approximately 3%. During the third quarter of 2016, EYLEA experienced a slight increase in U.S. distributor inventory levels as compared to the second quarter 2016, but continues to be within our normal one to two week targeted range. As mentioned in our press release issued this morning, we are tightening our full-year 2016 U.S. EYLEA net sales guidance to be year-over-year growth of 23% to 25%. Ex-U.S. EYLEA sales were product revenue is recorded by our collaborator Bayer were $471 million in the third quarter of 2015 compared to $371 million in the third quarter of 2015 representing a 27% increase on a reported basis. On an operational basis or constant currency basis, sales increased approximately 25%. In the third quarter of 2016, Regeneron recognized a $171 million from our share of net profits from EYLEA sales outside the U.S. total Bayer collaboration revenue for the third quarter 2016 was $191 million. Turning now to our Sanofi collaboration. Total Sanofi collaboration revenue was a $144 million for the third quarter of 2016. The Sanofi collaboration revenue line item primarily consists of reimbursement of Regeneron-incurred R&D expenses, reimbursement of Regeneron-incurred commercialization related expenses, and our share of profits or losses in connection with commercialization of antibodies. In the third quarter of 2016, our share of the collaboration’s losses in connection with commercialization of antibodies, which includes Praluent and pre-commercialization activities and costs in connection with Sarilumab and Dupixent was $112 million, which can be found in table four of our earnings release. Netted within the collaboration losses were the global sales of Praluent, as recognized by our collaborator Sanofi, of $38 million for the third quarter of 2016. Before moving to expenses, I would like to highlight two third quarter business development transactions. The first is the collaboration we entered into Teva to developing commercialize or NGF antibody Fasinumab under the terms of the agreement Teva paid Regeneron $250 million upfront payment and we will equally share on an ongoing basis R&D expenses of approximately $1 billion under a global development plan. We plan ratably recognize the upfront payment as revenue over the related performance period. The signing of this agreement did not have a material P&L impact on the third quarter of 2016. As a reminder, the intellectual property associated with our late-stage pipeline included Fasinumab has been migrated offshore thus expenses in revenues associated with the program will be recognized in foreign jurisdictions with cash rate lower than in U.S. Federal statutory rate. The other 2016, third quarter business development transaction was a collaboration with Adicet, which will allow us to discover and develop engineered next generation immune cell therapeutics. In accordance with this agreement, we paid Adicet $25 million upfront payment in the third quarter of 2016, which we have recorded as GAAP R&D expense in our consolidated statement of operations, but have excluded from our non-GAAP net income. Turning now to expenses. Non-GAAP R&D expense, which is calculated as the total GAAP R&D expense less R&D non-cash share-based compensation expense as well as the upfront payment we made to collaborate our Adicet was $437 million for the third quarter of 2016. Our non-GAAP unreimbursed R&D expense, which is calculate as the total non-GAAP R&D expense plus R&D reimbursements from our collaborators was $256 million for the three months ended September 30, 2016. Our press release includes all the information and is required to calculate unreimbursed non-GAAP R&D expense. As a result of the recently executed collaboration with Teva regarding Fasinumab, we are lowering and tightening our full-year 2016 guidance for non-GAAP unreimbursed R&D to be in the range of $945 million to $975 million from our previous guidance range of $970 million for just over $1 billion. Non-GAAP SG&A expense was $221 million for the third quarter of 2016. We are tightening and lowering our full-year 2016 guidance for non-GAAP SG&A to $965 million to $995 billion from our previous guidance range of $980 million to $1.02 billion. Note that, even after lowering and tightening our full-year guidance, we do not expect to see any material pre-launch cost savings from the PDUFA delays of Sarilumab. We will be co-promoting Sarilumab with Sanofi Genzyme and our sales force is already onboard. And as you heard earlier from Bob Terifay, we continue to prepare for the launch in anticipation and the resolution of matters with the FDA. Sanofi reimbursement of Regeneron commercialization related expenses a line item found within Sanofi collaboration revenue was $66 million for the third quarter of 2016 we are tightening our full-year 2016 guidance of Sanofi reimbursement of Regeneron commercialization related expenses to be in the range of $310 million to $335 million from $310 million to $340 million. Turning now to taxes. Our effective tax rate for the third quarter of 2016 was 27.6% as compared to 46.5% in the third quarter of 2015. This decrease was primarily due to the impact of changes in the geographic mix of earnings, inclusion of the tax benefit of share based compensation and the impact of the domestic manufacturing deductions, as compared to the same quarter of last year. As well as the discrete impact to this quarter of a change in our assessment of reserves were uncertain tax positions. For 2016, we are lowering and tightening guidance for our full-year GAAP effective tax rate to be 29% to 33% from the previously provided range of 33% to 41%. Our capital expenditures for nine months ended September 30, 2016 were $361 million. For the full-year of 2016, we are lowering and tightening our guidance for capital expenditures to be in the range of $480 million to $510 million from the previously provided range of $480 million to $530 million. 2016 capital expenditures primarily include cost in connection with renovations of our Limerick, Ireland manufacturing facility, tenant improvement in associated costs at our Tarrytown, New York facilities. Renovations in addition stores at Rensselaer, New York manufacturing facilities in the purchase of an office building New York, Rensselaer manufacturing facility. We ended the third quarter 2016 with cash and marketable securities of $2.2 billion, which includes the Teva upfront payment of $250 million. As we have reported in previous quarters, we have opportunistically reduced the number of warrants that we issued in 2011 in connection with our convertible debt issuance through repurchases from the warrant counterparties. Depending on market and other conditions, we may spend up to $415 million to repurchase or settle these outstanding warrants. With that, I would now like to turn the call over to Michael.
Michael Aberman: Thank you Bob. Before turning over to Q&A let me remind everyone to please keep your questions to a single question to allow for most number of people to have a turn. With that operator, can we please open up for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Robyn Karnauskas from Citigroup.
Robyn Karnauskas: Hi guys, thank you. I’ll stick to the one question. So if I heard you correctly, it sounded like the [Indiscernible] revenue was concluded - and it’s a 12-week study, so is it possible that we could - well in the first quarter and if so or when we get results remind us how you typically release them [Indiscernible] maybe some color and executions around that. Thank you.
Leonard Schleifer: First. Since you are talking about timing, we really don’t give guidance on timing and as we have with our - we typically look at this and give the top-line press releases is our typical practice.
Robert Landry: But more in general comment Robyn, we would say that and George might want to amplify and I think it’s a tough bar, and we are constantly looking to try and improve on that and so when we get the data we certainly will give you a top-line assessment.
Operator: Our next question comes from Terence Flynn from Goldman Sachs.
Terence Flynn: Hi, thanks for taking the question. It’s just one of the two parts, first just maybe walk us through some of the key drivers of EYLEA growth that we should consider as we head into next year here. And then Bob maybe just last year at this time you highlighted 2016 was shaping up to be an important investment year. Any thoughts here as we head into 2017 produce the [Indiscernible] market. Thank you.
Leonard Schleifer: So Flynn I’ll let Bob amplify if he likes, but the obvious potential growth drivers for EYLEA comes from demographics, aging population, more patients with diabetic eye disease, potentially would come from market share depending upon what continues to happen in the marketplace. This is potential for ups and downs there. And obviously an additional indications diabetic retinopathy those in the three places where we would be focusing and looking to drive growth off of a very large base obviously.
Robert Landry: Terence hi, it’s Bob. Yes, I mean we go out with our SG&A guidance upcoming we are not in a position right now to talk to that, but again we have spent time on this call and you have heard us previously with regards to the spending we have around Dupixent. So with the March 29th PDUFA date coming, we need to ensure that we are ready with regards to our marketing and our sales team is everything to be able to hit the road very quickly on that. And again, we are still investing behind Praluent as we wait for the outcomes data in Sarilumab. As I mentioned on the call, I mean we are putting promotional dollars behind that in our marketing and spending and when the FDA list the regulatory approval on that then we will be in a position to ensure that the product is fully supported from a marketing and sales perspective.
Michael Aberman: Next question.
Operator: Next we have Ying Huang from Bank of America Merrill Lynch.
Ying Huang: Hi, good morning. Thanks for the question. I have a question on the ODYSSEY outcome study here. So we know the hurdle for overwhelming efficacy ratio of less than 0.02 with the p values less than 0.0001. Can you elaborate, do you need to see consistency in every composite of the prime end-point, the all four composite of prime end-point. And also can you tell us how much confidence you have in terms of being able to need that end-points by the end of this month? Thank you.
George Yancopoulos: Yes, this is George. In some ways this decision is out of our hands and it’s very subjective in terms of there is independent monitoring board that without us is going to look at the data regardless of even if we hit the numbers that you stated in terms of our overwhelming efficacy. They have to make a decision about not only consistency and so forth that they are going to take into account whether there is rationale and it’s worthwhile, because maybe they want to look with in subgroup or another to get the complete data set. And so it’s very hard to predict something like that and as I said, is up to an independent data monitoring, its completely out of our hand and they could simply decide for example that they want to follow and get more [deaths] (Ph) in one particular subgroup even though the overall population was very clear. So the end result is I can’t really answer your question, because we just don’t know.
Michael Aberman: Okay. Next question.
Operator: Next we have Chris Raymond from Raymond James. Mr. Raymond your line maybe muted.
Christopher Raymond: Oh, sorry. Can you hear me now? Yes, thanks. So on Sarilumab, so just putting me the manufacturing delay for the drug aside, there has been some news in the biologic space information recently Amgen sort of talking about running out of it’s sort of pricing runway. And we have actually seen from some of our own work, pretty strong evidence that other sort of newer biologics have been gaining traction for some time. I wonder if you could maybe described at a high level your views maybe of the changing landscape with respect to access in PBM market power. And how you think Sarilumab once it is ultimately approved is positioned, not just necessarily from a clinical standpoint, but how you think for commercial landscape is changing in ways that may or may not favor the drug. Thanks.
Leonard Schleifer: Sure, this is Len. At the risk of unveiling a little bit of our strategy here, but not too much of it because obviously we have to get to market. It is a tough environment and the people who are paying the bills have seen what I would consider in some cases almost outrageous increases at least on the WAC price of the wholesale acquisition drugs, rheumatoid arthritis where people taking double-digit increases, sometimes twice a year. To me that suggests some sort of tone deafness in this environment. We think that we have to compete on two in two way, we have to compete with a very good drug, which we think Sarilumab will be. Of course, we have to get over this filling glitch and get to market as quickly as we can. But we think that the class is doing very well, there is some date out there from the first engine of the class where monotherapy against the leading NITNF, the and IL-6 receptor class performed better. And there are some people who simply don’t like to take Methotrexate, we have data of our own, which probably won’t be enough for us filing similar types of results with outperforming in monotherapy. But giving a solid entry with good properties is not going to be enough here and we have to compete with an offering that payers will find attractive. I think Regeneron is willing to break some of the mold here and now I’m getting some hints from my colleagues that I have probably said enough. So I will leave it at that.
Robert Landry: Its Bob. I think it’s important though also to keep in mind that the market has been characterized by a significant amount of TNF cycling and the reality is after a patient receives one TNF inhibitor, if they move a second, we see a diminishing efficacy overtime. We have an obligation from a sales and marketing perspective when we get approved to stop the TNF cycling and IL-6 inhibition plays a central role in RA. It plays a role in not only the symptoms but in terms of the progression of joint damage. And we have to educate physicians on that. So we are anxious to have the product get approved and get that message out there.
Michael Aberman: Okay, thanks for the question. Next question.
Operator: Next we have Geoffrey Porges from Leerink Partners.
Geoffrey Porges: Thanks very much for the question. Perhaps a question on the manufacturing issue. It’s been weeks since the Sanofi conference call so I presume you both had a lot more information. Could you confirm whether the auto field finish facility was included in the original BOI and whether its straightforward to switch the fill finish [Indiscernible] to that alternative facility. And then secondly, could you just tell us whether the inventory of Praluent, Sarulimab and Dupilimab, which presumably have already pre-launched is embargoed or is it likely to be usable and can you be selling Praluent from that inventory already? Thanks.
Leonard Schleifer: Yes, Jeff. As usual, you ask some of the best and most penetrating questions. And as usual we will give you or we would love to give you an answer, but we really not in a position to discuss the details of discussions that aren’t going with the FDA, how they are going to be resolved, the strategy redundancy, what is in filing, what isn’t and so on and so forth. We can summarize by saying that Sanofi is working very hard and they believe they can quickly remedy the deficiencies that were not related to Sarilumab per say, but rather some general GMP deficiencies, which there frankly and well on their way to remedy of course we have to work with the agency and they have to be satisfied. In terms of products that are already manufactured there. I think you should think the FDA sort of takes a risk based approach here, they have sort of maybe frozen in place those things that are actually being - assuming that they don’t think a plant is way out of whack. And nothing can be shipped and still they continued to fill an used product from that facility for approved products. It’s a new product such as Sarilumab, which gets sort of shout off obviously and unfortunately. We are working with them on Sarilumab and we are also working with a different group on Dupixent, which is a breakthrough product, which has a whole different set of approaches to it. So it’s complicated, you can imagine there is tremendous amount of work, a week seems like a long time maybe in your world, but in the world of regulatory interactions and manufacturing remedies and so on, it’s still relatively short time.
Michael Aberman: Next question.
Operator: Next we have Ronny Gal from Bernstein.
Ronny Gal: Thank you for taking my question. So just very quickly following on Jeff. Just looking at generic industry here when it comes to facilities the cycles improving facilities and getting product approved is actually quite long and what gives you conviction that in this case, it will be a relatively short one. And then if I could sneak a second one, 340B there has been some discussion form for that program. If you kind of give us an update about this program and how it impacts EYLEA sales?
Leonard Schleifer: We are going to give you only one question. And so the first question has to do with how do we know how quickly this is going to be remedied. Well we don’t know how quickly it’s going to be remedied for sure, obviously. We know how quickly, which is in a relatively short period of time that Sanofi feels as if they can get the plant in full GMP compliance. In fact, they have already broadened all sorts of efforts and resources, they have already submitted a detail plan, they have already submitted the first or second progress reports against that plan. And so, we feel that the strategy is the right one, and the approach is the right one. Obviously, we will just have to work with the agency and see how quickly they can feel comfortable that the plan is ready to go. Next question.
Operator: Next we have a Alethia Young from Credit Suisse.
Alethia Young: Hi, guys. Thanks for taking my question. Just one on the pediatric population, I know you quantified a little bit more about the adults with the 300,000 a-day. Can you kind of frame that in similar likely nature or similar nature as to the pediatric population please.
Leonard Schleifer: Bob do you want to comment at all on this.
Robert Terifay: Yes, I don’t think we are prepared to sort of go into the numbers in the pediatric population especially things were just embarked on our Phase III program now.
Michael Aberman: Okay. Next question.
Operator: Next we have an [Indiscernible] RBC Capital Markets.
Unidentified Analyst: Hey, thanks for the question. Maybe for Bob, On EYLEA pricing issue are aside - is EYLEA growth tampering a bit. We had thought that DME would be as big as A&D. What are the individual market dynamics, perhaps if you can give any color on that?
Robert Landry: So, we have done very, very well with EYLEA in DME that has been the driver of growth over the last couple of years. Primarily driven by the impressive protocol p results, which indicated that EYLEA was superior Lucentis and that Fasinumab on its primary end-point. The challenge with continuing growth in DME is that there are number of patients that never make it to the retinal specialist office. They go to an ophthalmologist who do laser therapy, laser is a revenue driver in the ophthalmologist office and they don’t make it to the retinal physician’s office where they could get access to anti-VEGF therapy. This has been a focus for us, we are educating, we are trying to educate patients that if they do have DME, they ought to get themselves to an retinal specialist, but this is chipping away at a habit among the ophthalmologist and its going to take some time. But we continue to see that the DME market does offer substantial growth opportunities for us in the future and as Len mentioned earlier if and when we get to diabetic retinopathy indication that would be a further driver.
Michael Aberman: Thanks. Next question.
Operator: Our next question comes from John Scotti from Evercore ISI.
John Scotti: Hi, good morning thanks for taking my question. On EYLEA, I think you previously mentioned that you are seeing a bit of an increase in gross to net and I was just wondering if you are still seeing that steady increase in gross to net and potential smaller erosion in that price. And if so, what is the magnitude of that and whether or not you see this trend is stabilizing or continuing into 2017.
Leonard Schleifer: Yes. I don’t think there has been much sequential change at all in the gross to net, it’s been flat sequentially in the last two quarters.
Michael Aberman: Next question.
Operator: Next we have Cory Kasimov from JP Morgan.
Cory Kasimov: Hey, good morning guys, thanks for taking my question. So, what is the PEDUFA date for a monthly Praluent and early next year. Can you just talk a little bit about the importance of extended dosing in this study? I mean clearly this is a payer constraint market today, but what might monthly dosing mean a little bit down the road? And how do think about even maybe longer term dosing options potentially entering this market from competition at some point in the future. Thanks.
Leonard Schleifer: Yes, I’m not convinced that the driver of this market is whether or not you have something every other weak or every month or what have you. I do believe that people will be driven by the LDL lowering by the outcomes data that would we hope we will support the LDL hypothesis, will continue to support it. And largely driven by payers, they have already demonstrated that they will not pay for convenience, if you look at the hepatitis C class, they put a much less convenient regimen up against a much more expensive regimen. So I don’t think convenience per say is going to drive the market. On the other hand, we like to come up with offerings that are as convenient as possible for patients.
Robert Landry: So just add to that. So far the patients that have received Praluent on a every two week basis have been happy with the dosing frequent, whereas convenience is not a big issue, but as Len pointed out, we would like to offer another dosing form for those patients who do want monthly convenience. But this is not an issue in the marketplace at the current time.
Michael Aberman: Next question.
Operator: Next we have Jim Birchenough from Wells Fargo.
James Birchenough: Yes, hi guys, just a question on the co-formulated Ang2 EYLEA product. And referencing data for the PDGF program. Is there anything in the co-formulation of the two drugs that limits the efficacy of each individual component whether it’s viscosity and ability to inject the full dose of the amount of protein you are giving to the back of the eye. I’m just trying to see if there is learning’s from the PDGF program that might inform how we just think about the co-formulation part of this for the Ang2 product? Thanks.
George Yancopoulos: Yes, we have no reason to think that there is any issues what so ever with that or that would have contributed all to the results and that the results we believe simply reflects the biology or the lack of biology for the PDGF pathway.
Michael Aberman: Next question.
Operator: Next we have [Indiscernible] from SunTrust.
Unidentified Analyst: Hi, guys. Thank you for taking my question. Question on Praluent. Could you comment on the value-base contract, I mean we know Amgen mentioned that they are entering into value-based contract for their PCSK9. Is that happening with you, how do you see that impacting the dynamics going forward?
Leonard Schleifer: Well one thing I should mention is many plans do not have the ability at the present times to enter into these types of arrangements. So it’s going to be a rarity that a plan is able to implement value-based price contracting. However, for those that can do it, we are working with those plans to establish a value-based contract more appropriate.
Michael Aberman: Great. Next question.
Operator: Next we have [Indiscernible] from Jefferies.
Unidentified Analyst: Yes, thanks, guys for taking my questions. How do you think payers will define moderate-to-severe for atopic dermatitis patients, because we hear like many darns don’t typically follow easier score out at scales, but I just had a look at by surface area to determine severity of disease?
Leonard Schleifer: I think it varies by geography in Europe, [EZ 75] (Ph) or PASI 75 is the driver of definition of disease in psoriasis. And we anticipate that EZ 75 will be something we have to educate physicians on and they are already preparing themselves for that. In the United States, you are correct, EZ scores are not relevant to the physicians and IG8 scores are not specific enough. So we are working right now on plans with payers on how to better define the disease. George?
George Yancopoulos: Yes, we suggest like you know that obviously in our studies on average the patients that we study had more than 50% of their body surface. At baseline covered by this disease and a quarter of the patients had 85% or more of their body covered with this disease. This just shows how severely these patients are and it’s not just that their skin is covered with this rash, but this is a weepy, itchy, horrific rash that they just can’t escape. And remarkably enough as we said despite the heavy burden of disease at baseline almost 40% of these patients achieved a clear or almost clear status. Really in this business do you have a privilege to be involved in a story like this that can make such a difference in patients’ life. We have been lucky here at Regeneron that we have done this a couple of times already but we think that Dupixent is really a once-in-a-lifetime story where you can really impact such an important disease, so dramatically having an average 70% improvement among all patients. And the thing that’s also so stunning to us about Dupilumab is that it looks like it might have the promise to do likewise in a host of related allergic diseases. Including the overall asthma population where they are again and in most uncontrolled severe population once again the results are very impressive from our first pivotal study and we think the same maybe the case in a host of other allergic setting. So the short answer to your question is, unfortunately there is a lot of patients who have more than 50% of their body surface covered. Those patients are certainly by any category considered severe patients. As Bob already told you, many of them have exhausted all other options and we just hope that all the other ancillary things don’t keep these important patients from getting access to this important life-changing drug.
Leonard Schleifer: Yes, I understand before I turn to what George has said, which is that in contrast to Praluent. We knew with Praluent of course that we could lower cholesterol rather dramatically, but to most patients unless they are highly involved in the detail of their care, which some are, but many to them that isn’t the end all, be all something that they wakeup everyday wondering how to get their cholesterol down. Of course they have had a heart attack and everybody in the family does, then they do pay attention to that. But then there was the push back, well you don’t really know do you that it improves outcomes and we’re just going on a hypothesis. Even though there is a great deal of data to certainly support that hypothesis. So it’s not a disease that people are clamoring to get treated and it’s not outcomes that are readily in hand. Contrast that with Praluent where these patients are desperate for treatment, truly desperate for treatment and we are not talking about the topical treatments that are available such as steroids that might become available when you are dealing with small areas relatively to modest disease. We are talking about the kind of patients George referred to, which are really quite significant. And these patients can see the outcome themselves, they can tell that they are doing better and we see it in our studies, we see it in our questionnaires, we see it in whether or not there is sweeping because they can scratch themselves so badly. I heard a story the other day which practically was a group of us who practically brought us all to tears, where a little boy who was visiting his grandparents and so cuddling and sleeping on the same bed. With very bad atopic dermatitis said to his grandparents, can you each hold one of my hands when I sleep so I don’t scratch myself so badly. I mean think about that, this is a disease that people really are looking for treatment. And if we can get this drug approved, first for adults and hopefully down the road for children, we can really provide something that they can tangibly feel. We are passive about making sure that we remove all the barriers out there and we expect to work with patients, with doctors, with payers, with organizations to make sure that people are aware of this treatment and can get access to it. Next question.
Michael Aberman: Yes I think, we have time for one last question.
Operator: Our final question comes from Phil Nadeau from Cowen & Company.
Phil Nadeau: Good morning. Thanks for fitting me in. Just one question on some of your prepared remarks. You mentioned that your competition for EYLEA is beginning to increase the discounts that they are offering. I want to understand the dynamics there a bit more, is there a cycle for when discounts are negotiated and there are any signs that you are seeing this is something that’s demanded by payers or is it just something that the competition is taking upon themselves to do?
George Yancopoulos: Yes, remember this is a Part B drug and there really not the same kind of environment we have a timing and a cycle with patients. For the most part there is some small amount of that that goes on. But for the most part the discounts and rebates that have been offered have been sort of directly backed to the physician’s office et cetera, et cetera. We continually revaluate that situation, we looking what are impacts, we are very sensitive to doctors being have to make a choice of what to give the patients, what they might think the best drug would be because of a rebate situation or something like that. We think most retinal physicians don’t do that, but we certainly understand that we will then as the markets shifts we are prepared to react if necessary.
Leonard Schleifer: Great. Thank you all for joining the call today. As we mentioned before, the IR team and Bob, the Chief Financial Officer will be available to answer any questions that didn’t make it on the call. That ends the call for today.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.